Operator: [FOREIGN LANGUAGE] We will take all your questions at the end of this presentation. [Operator Instructions]. Let me now give the floor to Karine Adam Gruson, who is Head of Investor Relations at Bouygues.
Karine Adam Gruson: Thank you. Good morning and welcome. Thank you for accepting our invitation to attend this teleconference for the presentation of our results for the first half of 2020. Before beginning, I would like to remind you that on our website, www.bouygues.com, you will find the press release with our results, the presentation that we will be commenting throughout this teleconference, an Excel file resuming the main figures for the group and its businesses and the consolidated financial statements. This presentation contains forward-looking statements and information concerning the Bouygues group and its activities. They reflect objectives based on the group's senior management's current expectations or best estimates. However, due to a number of factors and uncertainties, our actual results may differ materially from the forward-looking statements described here today. Let me now give the floor to Martin Bouygues, the group's Chairman and CEO.
Martin Bouygues: Thank you Karine. Good morning to one and all and thank you for taking part in this teleconference, which is being held by teleconference because of the current situation. I am now going to cover the group's results with Olivier Roussat, Pascal Grange and the CEOs of the five business lines comprising our three activities. We will take all your questions at the end of our presentation. Let's begin with slide number four, the highlights of the first half of 2020. The first half of the year was, of course, marked by the COVID-19 crisis. However, despite the strong impact of this crisis the group, nonetheless, generated a positive current operating profit in Q2 which is, of course, very good news. Furthermore, the group is well-positioned to weather this crisis, thanks to a very robust financial structure and a high level of liquidity with EUR11.1 billion in available cash at the end of June. Our construction businesses have a record backlog, which gives us good visibility for future business. The landmark event of the second quarter is that Colas posted a current operating profit in Q2, thanks to the rapid restart of its activities. Bouygues Telecom, since the end of the lockdown has returned to sustained commercial momentum. The strong growth in sales from services was up 8% and the increase in EBITDA after leases was 9% year-on-year. Bouygues Telecom has signed an agreement with Credit Mutuel. This is an exclusive memorandum of understanding with a view to acquiring EIT, which is the leading MVNO operator in the French market and an important distribution agreement. Telecom looks strongly positioned for the years to come. Now given the information we have to-date and in particular the sharp downturn in roaming, Bouygues Telecom has revised its guidance because it's been suspended since last April. Let's now move on to the group's key figures, which you will find on slide number five. As expected, the COVID-19 crisis has had a considerable impact on our results. Sales were down 15% year-on-year or down EUR2.7 billion, which is entirely due to the COVID-19 crisis, which we have estimated to add an impact of minus EUR2.8 billion. Sales fell sharply in France, down 19% due to a strict lockdown followed by a gradual resumption of our activity in all three sectors. In the international markets, sales were down 10%, affected by the slowdown of activity and the lockdown in several countries in which we have operations. Now the COVID-19 crisis fully accounts for the shortfall of EUR585 million in current operating income in the first half of this year. Were it not for COVID-19, this would have been an increase of EUR65 million by comparison with the same period last year. After reaching a low point in April, the group's current operating profit returned into the black from June onwards. So it became profitable once again from June onwards. Our net profit attributable to the group was also down sharply, given the context. As mentioned at the start of this presentation, the group's current operating profit was positive in Q2 2020. That's a profit of EUR110 million, which I am very happy about, needless to say. Now this performance, which you will see on slide number six, was due to the strong responsiveness of our business. Particularly, Bouygues Telecom's current operating profit has improved year-on-year, largely driven by the increase in its customer base and of course the increase in ABPUs, TF1 which achieved substantial savings over the period and of course, Colas which restarted its roads business rapidly, particularly in France and Canada. Let's now take a look at the group's liquidity situation. This is slide number seven. As you can see, at the end of June this year Bouygues had a very high level of available cash at EUR11.1 billion. This is up sharply by EUR2.7 billion compared with June 2019. This EUR11.1 billion breaks down into EUR4.4 billion in cash and EUR6.7 billion in undrawn medium and long term facilities, of which EUR6.3 billion are devoid of covenants. The debt maturity schedule is very well spread and includes the new EUR1 billion bond issue that was completed on the April 7, last. I should also point out that the group redeemed EUR1 billion in bonds in July. So this amount is still included in the schedule as stated at June 30, 2020. This high liquidity position contributes to the group's strong financial structure, which is shown on page eight or slide eight. At EUR3.9 billion, the group's net debt at the end of June 2020 was an improvement on the situation 12 months beforehand. This includes the positive impact of Alstom due to the dividend received and the partial disposal or disposal of part of our stake in Alstom in September 2019. However, this does not take into account two other items. First of all, the payout of a dividend of EUR1.70, which will be put before the AGM next week for payment on the September 11, if approved. And secondly, the acquisition of EIT by Bouygues Telecom, which should be closed in Q4 of this year. I am now going to give the floor to Olivier Roussat for a detailed review of our activities.
Olivier Roussat: [FOREIGN LANGUAGE] Thank you, Martin. So we will look at the various business areas, starting with construction on slide 11. So you can take a look at the business activity, the commercial activity. The order book, the backlog for construction, has a record high of EUR35.7 billion at end June, which gives us good visibility on the future. That backlog has two major items in it. There are two deals that were made in Q2, a number of deals actually in Q2. And of course, there was less of the order book that was, in a way, consumed because of the lockdown in Q1. In the three business areas, especially with Bouygues Construction, you have a significant increase of the backlog, 18% with the new orders over the half year, Bouygues Immobilier with a wholesale of 1,408 lots at the Caisse des Depôts in H2 and then for Colas, the order book is, well, the increase is more limited, 1% over the year because there were fewer orders in Route Metropole because of the pandemic and the electoral context and of course, as you know, the local elections were postponed. Finally, the order book for Bouygues Construction backlog and Colas internationally is up and reaches now 63% compared with 61% last year. On slide 12, we illustrated this commercial momentum on slide 12 with a number of significant projects in Q2. I won't go through all of them. There are two railway projects: the building of a high-speed railway line in HS2 in the U.K. and the replacements of the power supply of a metro line in Singapore. And then there's a project to build infrastructure for renewable energies with the wind farm in Fecamp and you have this on the top left corner of the slide. Looking at the financial performance, this is slide 13. As expected, there's of course the effect of COVID-19, a significant effect of course on H1. At June 30, 2020, Construction sales were down 19%, minus EUR2.6 billion. Current operating profit is actually a loss. It's down EUR509 million. This decline is entirely attributable to the COVID-19 crisis. You have a little box at the bottom right corner. We believe that the impact on sales is minus EUR0.2 billion. And on current operating profit, well, the decline is EUR530 million. France was affected because of the strict lockdown and the slow return to business. And of course, there was the postponement of local elections, of course, that slowed down road building and also slowed property development. Overseas, while internationally, there was less of a slowdown but even though our activity was slowed down in a number of countries where we do have business, after a low point in April, the situation gradually improved. Construction business started and returned to profit as of June. That improvement continued throughout the summer and is a reflection of proactive management of the COVID-19 crisis. On this next slide, slide 14. Bouygues was confronted to COVID as early as February in Hong Kong because case number 16 was discovered in Hong Kong in February. So we had to close down for two weeks or 14 days. Then of course, we supplied all our employees with masks and gels. But after that, there were no further contaminations after this fortnight of interruption. And on the strength of that experience, we were able to start business again in France as early as April 15, so long before the end of the lockdown. And we extended that to other countries, which had also suffered a stoppage as it were. So that experience was put to profit throughout the world. At mid-July, just about all the sites had reopened in France and we were back almost to pre-crisis levels. Internationally, sales were almost back to normal in many countries. The last country that returned to normal business was Singapore at mid-August. Summer was the opportunity to catch up on activity. We asked our employees to take their vacation during the lockdown so as to be able to work during the summer and make up for the losses over Q3. So we started new projects and sites. The various business areas tried to limit the effect of the COVID crisis on the performance, negotiating the additional costs with customers and trying to save on other items. On slide 15 now. Of course, the French government has launched a number of stimulus packages. Well, that's not just in France, it's around the world. You could see on the map the various stimulus packages that are available. So the numbers vary, if you compare. Well, in the United States, the Americans want $1,000 million, that is $1 billion. And the Democrats are opting for $3 trillion, $3,000 billion. So we will see what comes out. In Europe, EUR750 billion will be allocated partly to the energy transition. Well, the various stimulus packages will be looking at low-carbon solutions. And our group is in a good position because we have a large portfolio of low-carbon solutions so that we can take the opportunities that will arise through these stimulus packages. We have a recap of the four areas where we do have solutions, of course, sustainable construction, sustainable building. But we also have wooden structures, renewable energies. And that has everything to do with the storage of solar farms, renovation as well, where we have the green solutions for service buildings, positive energy buildings. And then what is known as clean mobility and so we are looking at public transport infrastructure and such like. Now we are on slide 17 now, a few examples of low-carbon projects. We have the Sensations building in Strasbourg, which won a prize for timber construction. Then we have Floatgen, which is the largest floating wind turbine in Europe. We have Piolenc, which is floating solar power plant. And on the right hand side of the slide, bottom right, we have the Wattway Pack. That's a solution that we have to light up roads and pathways and this is for a cycle path. Our TF1 gave their presentation in July, so I will go over them quickly. But the performance in H1 show the effect of the COVID-19 crisis on its business but also it demonstrated TF1's ability to adapt rapidly on programming and programming costs to limit the effects of the crisis. Sales in H1 was EUR884 million, down 23%, minus EUR261 million. So this is essentially due to the COVID-19 impact, estimated at EUR250 million over the period. You, of course, have the cancellation of advertising campaigns. A number of advertising projects were suspended. And then a number of shootings, especially in France, were interrupted, not just in France but abroad as well. Current operating profit is EUR68 million, down EUR95 million. And that's wholly attributable to COVID-19. That loss is less than that of sales because, of course, efforts were made to bring down the cost of programming, the programming cost. And TF1 was able to save as much as EUR107 million on programs on free-to-air channels. So that's about a 30% reduction. Since the end of the lockdown, the decline in advertising revenue is now reversing. Some of the advertisers are coming back. But because of the uncertainty of development, TF1 has decided to forgo its objectives for 2020 and 2021. Let's move to Bouygues Telecom in slide 21. And you have a good sales performance since the end of the lockdown. Bouygues Telecom was the first operator that reopened its shops as early as May 11, at the end of the lockdown while respecting the sanitary precautions. So we told you about the measures taken, the preventive measures taken on the construction sites as well but likewise for our shops. Ever since the shops reopened, the level of subscription is in fact higher than it was prior to the crisis, both for mobile and FTTH. In mobile, we had a concern that there's a new profile shaping up in the market with the premium customers migrating to the Internet. But that's not what happened. In fact, we have premium customers returning to the shops and there's a high level of conversion into purchase. And so in H1 2020, the share of the premium segment maintained its position vis-à-vis SIM-only and web-only. And so the mobile plan base, not including MtoM, machine-to-machine, was 11.8 million customers at end June 2020, up 274,000 new customers since end 2019 and 161,000 on Q2 alone. As expected, we have a higher demand on FTTH. The customer base of FTTH stands at 1.2 million customers at end June with, as I said, 210,000 new customers since the end of 2019, including 93,000 in Q2. Penetration rate for FTTH now stands at 30% compared with 20% before. And so now Bouygues Telecom finds itself in a ratio comparable to that of its competitors on the FTTH ratio vis-à-vis the fixed base customer, fixed line customers. On slide 22, we have the numbers for Q2. You can see that with more than 6% growth in overall sales at Q2 2020, Bouygues Telecom shows that its uninterrupted quarterly growth, the strongest in the French market since mid-2017. So that performance, the growth performance has been maintained for 20 quarters running. So that is the consequence of the strategy that was introduced in 2015, which has made possible for Bouygues Telecom to look at constant growth momentum. Of course, we have growth in the mobile customer base but also the fixed customer base as we saw plus also an improvement in ABPU, average billing per user. In Q2 2020, as you can see at the top right corner of the slide, the mobile ABPU, restated for roaming, is up EUR0.3 at EUR19.7 per customer and per month and fixed ABPU is up EUR1.3 at EUR27.2. In spite of the decline in roaming, because, of course, well, the roaming profit is not generated within Europe but intercontinental travelers, so there's none of that. But in spite of that, growth in service sales in Q2 was sustained at plus 6% over one year. For the fixed service sales, it's up 11% and 4% on mobile service sales, up 4% for mobile. So the increase, not including roaming, billed to customers compensated for the loss in roaming revenue because of the absence of intercontinental travel. On slide 23, overall on H1 2020, service sales were up 8% over one year at EUR2.4 billion as you can see on the slide. On others, that sales is down because we sold fewer handsets in the shops. You have to remember that handsets are sold, is almost essentially in shops. So when the shops were closed, you had the complete vanishing of the sales. But at EUR3 billion, sales were still up 4% over the half year. It does include the COVID-19 impact, you can see on the bottom right corner, estimated at minus EUR70 million. And it's only a EUR20 million effect on current operating profit. EBITDA after leases is also up 9% at EUR711 million. That includes EUR20 million in nonrecurring costs associated with the advertising campaigns that occurred in Q1 and also the effect of, well, the repositioning of the brand and also the EUR20 million impact of COVID-19 in H1. EBITDA after leases stands at 29.6%, up 0.3 percentage points compared with H1 2019. Current operating profit stands at EUR253 million, up EUR23 million over the year. That includes EUR17 million in capital gains because of the sale of FTTH premises to the core enterprise as part of the Asterix Project. You may remember that this is a deal with Orange in medium coverage zone. So Orange is in a position to generate lease revenue out of that by owning the premises. So we sold them to Orange. Operating profit was down EUR26 million in H1 because of the absence of non-current income. And non-current income was EUR50 million last year. Gross CapEx were EUR581 million over the half year, up EUR51 million over the same period. Sales, that is disposals, were EUR194 million, mostly linked to the Asterix Project, EUR185 million. Let's go back to the announcement we signed in June. Bouygues Telecom signed an exclusive agreement with Euro-Information, which is a subsidiary of Credit Mutuel with a view to acquiring 100% of EIT and to sign a distribution partnership. EIT is the number one MVNO operator in France. It is present on all the three key markets: BtoC, CtoC and also wholesale, that is to other MVNOs. It has five brands. And it has wholesale agreements with Orange, SFR and Bouygues Telecom. EIT has about two million customers. Its distribution network is essentially made up of 4,200 branches of Credit Mutuel and CIC and as many as 30,000 customer advisers. On slide 25, looking at BtoC. We are in the context where that market has reached maturity. So of course, there's tougher competition there. And the operation has a strategic interest for Bouygues Telecom because: A, we can step-up our growth in both mobile and well, because we have a wider base, we can also offer fixed line contracts to the new customers. We can also have an additional distribution network. I mean it is eight times bigger than that of Bouygues Telecom. And of course, it means that Bouygues Telecom now can be in areas where we had no previous experience, so we are present throughout the territory. And of course, this is a fixed cost business model. So if we can have more customers, well, mechanically, this means that profitability is higher, so this means that we can secure our free cash flow because of our fixed costs. Our contribution, as estimated based on the baseline scenario, we expect to have an additional EUR200 million in EBITDA after leases and generate as much as EUR100 million in free cash flow. On slide 26, we tell you about the price of acquisition for this MVNO base. So we have the fixed part, EUR530 million, payable at closing and an additional part, which will be anywhere between EUR140 million and EUR325 million payable over five years and dependent on the revenue generated by the bank network. The operation will be financed by end 2020. We need to have the necessary administrative authorization, that is the French Competition Authority, but also there also needs to be consultations with staff representatives. I will now give the floor to Pascal Grange who will give you a detailed presentation of the numbers.
Pascal Grange: Thank you Olivier. I have a few additional explanations for you on the accounts as at June 30. Concerning the income statement on slide 28, I am not going to elaborate on the sales and the current operating profit that have already been commented at length. Other operating income and expenses netted out at minus EUR44 million in the first half. This is down by comparison with the first half year of 2019 and mainly includes EUR45 million in nonrecurring expenses at Colas due to the reorganization of the road business in France and the continued decommissioning of the Dunkirk site. Last year's nonrecurring income was a positive EUR42 million because it mainly include nonrecurring income at Bouygues Telecom, stemming from the mobile sites mentioned by Olivier earlier on. The cost of the net debt fell by EUR13 million over a year. This was in particular due to lower interest expense at Bouygues SA following the bond redemption in October 2019. Moving down to the lower half of the income statement. We booked a tax credit of EUR12 million at June 30 by comparison with an expense of EUR132 million last year. So this calculation gives us an effective tax rate of 4%, which obviously is not in any way significant. This is due, on the one hand, to the fact that certain losses recorded abroad did not give rise to the booking of deferred tax assets and on the other hand, due to the fact that the losses in the first half of 2020 are activated at a tax rate lower than the annual rate, insofar as these losses will in all likelihood be used from 2023 onwards. Overall, the net income attributable to the group is a loss of EUR244 million after a profit of EUR225 million last year. Let's now take a look at the group's balance sheet at June 30. Total of the balance sheet is EUR41.5 billion after EUR39.4 billion at year-end 2019. Moving on to slide number 30. You will see that on the asset side, non-current assets totaled EUR20.4 billion, up EUR132 million. This variation could be largely attributed to two important factors. Firstly, the increase in the value of joint ventures and associated entities, that is a EUR281 million increase, rising to a total of EUR1.8 billion. This is mainly due to the valuation at EUR295 million of Bouygues Telecom share in SDAIF. SDAIF is the joint venture mentioned earlier with Vauban Investment Partners in the general framework of the Asterix Project. This is also due to a EUR136 million decrease in property, plant and equipment, which is down to EUR7.4 billion, a decrease which is mainly due to Colas. Slide 31. You see that current assets totaled EUR21.1 billion, up almost EUR2 billion by comparison with the end of last year. First of all, current operating assets increased during the first half year by approximately EUR870 million. There are three main contributing factors here. First of all, an increase in other receivables at Bouygues Telecom, an increase of EUR325 million, including EUR222 million relating to SDAIF, which I have just mentioned. In fact, the proceeds from the sale of FTTH connections for EUR185 million before tax or EUR222 million including tax, these proceeds were booked in July. And therefore, we booked to Q3 and not Q2. Second factor, an increase in contract related assets at Colas for EUR237 million. This is due to the seasonality of the business. And finally, an increase in trade receivables at Bouygues Telecom for EUR150 million, which is in line with the growth in sales. Furthermore, the cash situation rose by EUR1.1 billion, thanks notably to a EUR1 billion bond issue in April. Moving on now to the liability side on slide 32. Shareholders' equity were down EUR349 million to EUR11.5 billion. Now this includes, in particular, net income from activities continued over the period, which actually amounted to a loss of EUR219 million. Other income and expenses that are carried directly under shareholders' equity for a net expense of EUR114 million, these were mainly comprised of the EUR82 million negative impact of currency translation at group level and the EUR32 million negative impact of actuarial adjustments to pensions and several payments. Slide 33. This is the non-current liabilities, which amounts to close to EUR10.2 billion, up almost EUR2 billion. Long term debt rose by EUR2.1 billion over the period to EUR6.3 billion. This increase was notably comprised of the EUR1 billion bond issue in April previously mentioned as well as the drawing down of credit facilities to the tune of EUR870 million by Bouygues SA. This brings us to the variation of net debt in the first half of 2020. We are on slide 34. As we saw previously, net debt reached EUR3.9 billion at June 30, which is an increase of EUR1.5 billion by comparison with December 31, 2019. This increase breaks down as follows. EUR39 million in acquisitions, net of disposals. That's a negative figure of EUR39 million, which is a very small amount for the period. This was mainly due to a number of acquisitions made by Colas. The second factor is plus EUR16 million in capital and other transactions, which include share buybacks, the exercise of stock options and the remaining part of the capital increase reserved for Bouygues employees. This was the so-called Bouygues Confiance n°11 program. Then a negative EUR5 million in dividends. These are dividends paid by the consolidated activities to equity investments below the controlling interest threshold. And finally, a negative EUR1.5 billion due to the running of the businesses, which is the bulk of the variation of the half year. This amount is slightly lower than last year. So now let's take a closer look at this variation in slide 35. Let's begin with net cash flow. Including lease obligations amounted to EUR383 million over the first six months, down over EUR400 million by the comparison with the first half 2019. This is due to the sharp decline in business and the decline in results over the period. Net CapEx were down EUR171 million to EUR607 million. Now this variation is particularly notable in the construction businesses, which in the first half year notably adjusted their CapEx to bring it in line with the level of activity. Furthermore, Bouygues Telecom increased its gross CapEx, as we heard earlier on, but at the same time benefited from the proceeds from the sale for EUR185 million as part of the Asterix Project. This brings us to changes in working capital requirements relating to operating activities. Thanks to the efforts made by this unprecedented period, the variation in working capital requirements over the period was considerably lower than in the first half of 2019 by almost EUR600 million. At the end of June, we have yet to book any deformation in the working capital requirement as we expected. This is a phenomenon that will lag over time. However, it will be lower than we initially anticipated or initially feared. Finally, this quarter, we have isolated the changes in working capital requirements related to property, plant and equipment, which have changed from minus EUR117 million to minus EUR131 million. And the bulk of this variation was due to the disposal of FTTH connections for EUR280 million, which was booked in July. Finally, the variation is almost identical to last year for the same period. That's it. That brings us to the end of my presentation of the financial statements. Thank you for your attention.
Martin Bouygues: Thank you, Pascal. Let me now wrap up our presentation and I propose to refer you to slide number 37. I would like to begin by telling you that the COVID-19 crisis and its consequences have an impact on our strategic choices. We want to strengthen the more resilient businesses in the group, Bouygues Telecom, of course and the energies and services. We also intend to continue developing Colas by extending or expanding the international network through external growth in target countries and by optimizing our industrial activities in quarries and bitumen. TF1 and Bouygues Immobilier must continue to transform themselves. In the case of TF1, well TF1 needs to strengthen its positioning in the value chain to reduce its dependence on the advertising market. In the case of Bouygues Immobilier, Bouygues Immobilier needs to turn around its sales and profitability. Finally, we intend to accelerate our digital transformation by developing innovative products and solutions and by reshaping our organizations and work processes. In this unprecedented context, the group is convinced that we need to enter into a new stage of our climate strategy. As mentioned on slide number 38, this entails reducing the carbon footprint of our activities whilst strengthening the portfolio of our low-carbon solutions. Now the group is confirming the definition of a greenhouse gas emissions reduction target by 2020 that will be consistent with the Paris Agreement and by setting up a plan of action for its five businesses in the course of this year 2020. As for the group's financial objectives, this is slide 39. I would like to remind you that we withdrew our financial guidance last April. Given the uncertainties concerning COVID-19 and its impact over the rest of the year, the group has not set any new guidance for 2020. That said, thanks to the responsiveness of the business segments and the measures we have taken, the group will return to significant profitability in the second half of this year without reaching the particularly high levels of the second half of 2019. Bouygues Telecom is showing its resilience by pursuing its growth strategy and has chosen to maintain a high level of investment in order to strengthen the quality of its networks in the context of where usage is constantly increasing. As a result, Bouygues Telecom has revised its objectives for 2020. On the basis of what we now know and barring any new negative consequences of COVID-19, we now expect growth in sales from services of approximately 4% despite the sharp decline in roaming due to COVID-19. Gross CapEx could reach EUR1.2 billion. This includes necessary expenditure for the integration of EIT but not including the acquisition of 5G frequencies. And finally free cash flow of some EUR250 million. By way of conclusion, Bouygues is well-equipped and well-positioned for this unprecedented crisis. The long term trends on which the group relies remain buoyant despite the current crisis, for all of our businesses are essential. After a challenging first half of 2020, our fundamentals and our strategy should enable us to return to growth in all three sectors of activity. I would like to take this opportunity to once again pay tribute to the spirit and commitment of all our employees in this very difficult period of time for us all. Now before moving on to questions and answers, let me remind you of the calendar, which you will see on page 41. On the September 4, we will have our Annual General Meeting to deliberate on the payment of a dividend. The results for the first nine months of 2020 will be published on the November 19. My colleagues and I are now at your disposal to answer your questions.
Operator: [FOREIGN LANGUAGE] [Operator Instructions]. Your first question is from Frederic Boulan of Bank of America. You have the floor, sir.
Frederic Boulan: Good morning and welcome. I have two questions. On Bouygues Telecom, we had 10% growth in sales and services in Q1 and 6% in Q2. How do you work out this 4% objective if you are looking at stable sales in H2? Why such a slowdown? The second question on margins. Can you tell us more about the margins in H2? If you look at the construction business, can you give us details about the sort of profit margins you can expect in 2021? Will you be in a position to come back to numbers similar to that of 2019? Can you give us details about Construction, Colas and Immobilier?
Richard Viel: [FOREIGN LANGUAGE] Now this is Richard Viel speaking. Concerning the sales from services, the annual figure by comparison with the first half year, two important points need to be made. First of all, in the second half year, roaming has a much higher impact than in the first half year. In the first half year, there was no impact on roaming on Q1, approximately EUR30 million impact in Q2. We expect a EUR40 million impact in Q3 and Q4 will also count. So that's an impact. Secondly, structurally and the way Bouygues Telecom operates, which is something I explained to you regarding 2018 and 2019, Bouygues Telecom has a strategy that we roll out during the summer in the quiet periods. As a result, revenue in the first half year is lower than in the second half year. As a result, when you start the second year, the revenue from H1 is compared with H2, which is a high basis of comparison. Now this year, we will not do as well in terms of incremental income because of COVID-19. So this will have a lower impact. So a slight slowdown in the more-for-more, as we call it, or more-for-more and the dip we expect in roaming in the second half year. Combined, this leads us to be cautious about our global figure for the year.
Martin Bouygues: Richard, that's good. Olivier Roussat, maybe you would like to add a few words. Olivier?
Olivier Roussat: Well, in Construction, we expect a good, solid Q3. But as I said in my presentation, we have caught up, especially the fact that there are fewer holidays taken during the summer periods, holidays were already taken during the COVID-19 period and we expect to do better in Q4 again. If we look at the details for Bouygues, Colas and Bouygues Immobilier, in Q3, we should still have some impact of COVID-19 in Bouygues Construction. There are areas where we haven't fully resumed our activity. And I am thinking, for instance, of the work we are doing in the Philippines. We gradually resumed in August in Singapore. But in Q4, Construction should be back to on par, barring a downturn in the COVID-19 crisis worldwide. At Colas, however, the situation is somewhat different. In Q3, the level of activity should be slightly higher than Q3 2019, which was, nonetheless, at a high level. This was a pre-election year when we tend to have more business than during election years. However, as I said earlier on regarding local elections, we can expect a downturn in Q4 because since June there's been a sharp decrease in the number of public tenders for roadways in France. So we can expect a lower level of activity in Q4. As for Bouygues Telecom, Richard has answered. And as for TF1, our visibility is relatively poor for the moment. So the trend is a trend of slowdown. But nonetheless, advertisers are coming back.
Frederic Boulan: My question about the margins on 2021?
Olivier Roussat: I thought you were talking about the second half year. For 2021, at Bouygues Construction in 2021, we expect margins to be back to a level comparable with what we achieved in 2019. But as for Colas, due to the very tense situation and call for tenders that we expect in the second half year, in 2021, our margin should be slightly lower than the margins we achieved in 2019. We expect to be back to business as usual in 2022. As for Bouygues Immobilier, in 2021 we anticipate margins higher than the margins in 2020, though not as high as 2019. This is because a lot of building permits have been delayed. This is also because of the election period. Thank you.
Operator: Next question from Nicolas Cote-Colisson from HSBC.
Nicolas Cote-Colisson: [FOREIGN LANGUAGE] With Bouygues Telecom, what do you expect the long term effect on EBITDA margin? You have OpEx with the leases of networks before the acquisition of EIT. And on Construction margins, can you tell us more about your ability to share additional costs related to COVID with your subcontractors and your customers? Could you assess the additional costs linked to safety measures? You worked it out to five basis points.
Martin Bouygues: [FOREIGN LANGUAGE] Now Richard Viel will take the first part of your question.
Richard Viel: Well, our ambitions as regards margins at Bouygues Telecom in the medium term, we are aiming at an EBITDA margin of 25%. This is our leitmotif. You remember, we were at 19%, we have exceeded 30%. And so the target is 35%, not 25%, I apologize, 35%. When you talk about disposal, I would just like to add that when we decide to proceed with a project like Asterix, the paradox is that we dispose off assets. But at the same time, the financial conditions we have in fiber are better than in the previous cases. This is just to show you that we can proceed with disposals, sometimes for the purposes of cash, but also to improve the long term profitability of Bouygues Telecom.
Martin Bouygues: As for the Construction part of your question, what I can say is that it's very difficult to give you a forecast. There's France, on the one hand, but also international operations, which include a lot of different countries. In France, we have public contracts. And the French government has taken a number of decisions regarding how additional costs are to be shared. So that's predictable, very predictable. As for our private markets, well, it's on a case-by-case basis. We discuss the additional costs with each client individually. Likewise, with suppliers, situation will vary depending on the type of business they are in. So I am afraid I can't or couldn't give you any idea as to how any additional costs will be shared, if they are to be shared. So I am afraid I can't give you any insights or any dependable insights anyhow into how these costs will be shared. It's not very meaningful at this stage. Thank you. The next question.
Operator: Stephane Beyazian, MainFirst.
Operator: The next question from MainFirst.
Stephane Beyazian: [FOREIGN LANGUAGE] Yes, a question about the stimulus packages. Do you have any visibility on timing for the new call for tenders that will come as part of the stimulus packages? And regarding the Telecom in terms of pricing, can you give us details about the competitive environment? I believe that back in April, you said that there was more competition as the shops were closed, I mean, more online competition that is. Are we back to normal now? Has the environment come back to normal?
Martin Bouygues: [FOREIGN LANGUAGE] Well, as for the stimulus plans, like you, we have heard wishes expressed in Europe and America. And of course, these are of interest to our activities in Europe and in the U.S. Very big figures, very substantial amounts have been mentioned. But we have yet to see how all of this is going to flesh out. We do not know how these stimulus plans will be implemented, who will be concerned. So as things stand, we are waiting to see how these decisions will materialize in the weeks to come. On Bouygues Telecom, Richard Viel will answer your question.
Richard Viel: As for the telecom part of your question, as we told you back in April, there were promotions or promotional drives in Q2. Obviously, traditional distribution wasn't working the same way as usual, so promotional drives took over. What we can say as of now, as we near the end of the holiday period, is that well, back to what we call par or nominal situation, this only concerns the lower end of the market. But historically, we began with promotions at EUR5, then EUR10, EUR12, EUR14. We came back to EUR12. My feeling is that we are looking at about EUR14. So that seems to be the right trend in the low end. As for the high end, well, the reopening of our stores was a great success and people having coming back for premium services, for premium handsets. So I think the enthusiasm is still there. The potential advent of the fifth generation will change because mobile phones will change if 5G comes in.
Operator: [FOREIGN LANGUAGE] And now we have questions from the English line.
Operator: The next question comes from the line of Jakob Bluestone from Credit Suisse. Please go ahead.
Jakob Bluestone: Hi. Good morning. Thanks for taking the question. I have got two questions, please. Firstly, just staying on the topic of premium versus no frills, you mentioned that the sort of mix between the two has stayed fairly steady. Could you perhaps quantify what is actually the mix between the two? And also how has that evolved over the last couple of years? That's the first question. And then secondly, could you maybe just give a little bit of guidance for your expectations for net working capital for this year? Thank you.
Pascal Grange: Okay. So I try to be sure that I well understood your questions. So it's concerning premium versus low end, the first one. So first of all, I want to confirm you that the premium part is still consistent. It's a stable situation. We speak that sometimes about 50%, 50% of the market between the premium and the solo business. But you need to realize that outside of that numbers in terms of value, as the premiums pay the 75% value share. So it's the most important part. That's the reason why shops exist. That's the reason why relations and CSR exist to create relations with customers to have premiums. This is the first part. On the CapEx part and about the fact that the CapEx for the future, the only thing we told you that it's for 2020, it will be EUR1.2 billion roughly. Because at the end, it includes EIT and so on. But for 2021, we don't know exactly what will happen and it will depend upon two aspects, of course. We will have to integrate EIT. But we need to look at how it will be integrated, first point. And second point is about the speed-up of the 5G arriving on the market. So for those reasons, I have no guidelines really to propose for 2021 now. You need to wait a little bit.
Jakob Bluestone: If I can just ask a follow-up, just for net working capital for the year, is that something you can guide on?
Pascal Grange: Catch what you say, sorry for that.
Jakob Bluestone: So I was asking about net working capital for the group for the full year of 2020.
Pascal Grange: The free cash flow by this year, no?
Jakob Bluestone: It's fine. I will take it offline.
Pascal Grange: You look at the BFR at the group level or Bouygues Telecom?
Jakob Bluestone: No. I was asking about the net working capital for the group, for Bouygues group.
Martin Bouygues: [FOREIGN LANGUAGE] As you know, variations in working capital requirements mainly concern Construction. This is based on the experience of previous years. You will remember that at the start of the year, we gave you a net working capital guidance, which anticipated what we had already undertaken in Construction, in particular, with a view to improving our working capital requirement. Then of course, we were hit by COVID-19 and we anticipated a sharp decline in net working capital in the first half year due to the variation in activity, the sharp downturn in Construction, in particular. The good news, the very good news in our accounts today is that this sharp deterioration of working capital did not happen in the first half of the year. It did deteriorate because Construction has a seasonal effect, which sees working capital deteriorate in the first half of every year. But as I said, every year, operating working capital deteriorated less than last year, which is the first element of good news. So I understand your question concerns net working capital at year-end. That said, we have no experience of what's currently happening. The current situation is something we have no experience. This is why we haven't given you any guidance. We believe that part of the deformation we expected in the first half year, which didn't take place, will actually happen in the second half year but to a lesser degree than we expected initially when the COVID-19 crisis started back in there.
Jakob Bluestone: Thank you. That's perfect. that's very helpful.
Operator: The next question comes from the line of Jerry Dellis from Jefferies. Please go ahead.
Jerry Dellis: Yes. Good morning. Thank you for taking my questions. I have two questions, please. You mentioned when discussing the margin outlook for the construction activities that Bouygues Construction should get back to a 2021 margin similar to 2019 and that Colas could get back to 2019 levels maybe in 2022. But as I look at the current operating margins for Construction and Colas back in 2019, they were still relatively low, around 3%. And I think you have, in the past, guided to reaching normative margin levels of around about 4% in both of these divisions. I wonder whether you still think that those 4% normative margin levels are attainable and on what sort of timescale, please? My second question has to do with the Telecom free cash flow guidance. I see that you have reduced that guidance to EUR250 million, reflecting the higher CapEx. But if we triangulate back to an EBITDA target from the EUR250 million, we assume net CapEx of EUR1 billion, a low level of interest costs and maybe tax of around about EUR150 million or EUR160 million, it would suggest that EBITDA would decline year-on-year in the second half. I wonder whether that is what you are anticipating or whether there's something else, some other moving part within the free cash flow guidance that we should be considering? Thank you.
Martin Bouygues: [FOREIGN LANGUAGE] Olivier Roussat will give you an answer.
Olivier Roussat: Well, let me tell you that the normative margins that we announced, well, for Bouygues Construction, we stand at about 3.5% and we believe that normative profit margin would be about 4%. But we also feel that activities for Bouygues Construction and Colas haven't got the same normative margins. Those of Colas are driven by industrial factors, the quarries and bitumen, which means that we can have more margins than simply on road works. Regarding Bouygues Telecom, EBITDA should be higher in 2020 than it was in 2019. But we did not give guidance on that. So I wouldn't give you any.
Pascal Grange: On the Telecom part, so about the fact that you have the feeling that EBITDA could be lower in H2 rather than in H1, not at all. And you need to understand that on H1, we have all the concentration of the taxes. So for all those reasons and about our plans, we are still confident on the fact that in H2, the EBITDA will be higher.
Jerry Dellis: Okay. Just to be clear, I was suggesting that the EUR250 million free cash flow guidance implies that second half EBITDA lower than the second half of 2019. Are you saying that that's not likely to be the case?
Pascal Grange: Well, you need to realize that in H2, we will have, of course, impact from the roaming part, which will be much more significant. That's the reason why we consider that on the cash flow, we should have some impact. And the other reason is because the investments that we will maintain consistent and important on H2 will be based on, of course, on some acceleration that will be possible during H2 rather than H1 due to the COVID. And the second part is you need to remember that we will integrate EIT during this period with some investment that has to be prepared to have a better integration. Thus for all those reasons you see that on the free cash flow, okay.
Jerry Dellis: Thank you. That's very clear. And just on the normative margin in Construction, I didn't catch whether there is still a time frame for reaching the normative margin levels. Previously, it was described as being medium term, which I think was interpreted as being three years or so. Is it still possible to put a time frame on reaching these normative margins? Or is life just too uncertain now?
Olivier Roussat: [FOREIGN LANGUAGE] Well, for Colas, we believe that we could not reach the normative margins before 2022 because of the tension on the market, particularly because of what happens in France, there are a fewer corporate tenders. So we will have to wait until business picks up again. And that is a phenomenon that we have in election years, for local election years. And this year, we have a much longer impacting as much as the municipalities were elected only in the summer. On Bouygues Construction, we said that we were looking at return in 2021 to the situation we had in 2019. But 2019, I meant Construction, not including energy and services, where we have the normative margins that we can have there.
Jerry Dellis: Thank you very much.
Operator: The next question comes from the line of Giovanni Montalti from UBS. Please go ahead.
Giovanni Montalti: Good morning. Thank you. Can I ask if you can share some thoughts with us about where we are with political decisions around Huawei in France? And can you help us understand better what could be the impact on Bouygues Telecom and your action plan around that? Thank you very much.
Pascal Grange: Okay. So on the Huawei, you know the recent announcement from the ANSSI and the fact that we are in a situation on which we have four cities on which we have to change our equipments on a short term basis. It's for 2021. For the 2023, we need to have four other cities to be changed probably with one of the other supplier. And then there is a request about 2025 for nine cities. And there is the last request about the rest for 2028. That means that roughly at Bouygues Telecom level for this period of eight years, we will have to adapt our network with a replacement of about 3,000 sites. So 3,000 sites on eight yeas, it feels reasonable and probably that this equipment could be reused in some aspects. So we are not speaking so much as a significant impact on that point. Is it okay?
Giovanni Montalti: Yes. Thank you so much.
Operator: We can now continue with questions in the French call. [FOREIGN LANGUAGE] Josep Pujal of Kepler.
Josep Pujal: Yes. Good morning. I have three questions. My first question concerns the stimulus plans you have mentioned. You said there will be a large energy transition component in the stimulus plans. Is this something that leaves you more ambitious as regards to energy and services? And could you recall your sales figure for this subdivision of Construction, energy and services, if you would? Are you more ambitious regarding the future? Are you prepared to make acquisitions in this area? My second question concerns what you said about your intentions for Bouygues Telecom, in other words, to accelerate growth. You are talking about new initiatives. After the acquisition of EIT, are you looking at BtoC or BtoB? My third question is, could you tell us what the level of the activity was in June by comparison with June 2019? Was it 3%, 5%, 10% less? You have said it's almost the same level as in June of 2019. But how close? See in June, you said you were profitable again. So the idea is to try and determine when you are at minus 5% or minus 10%, if you are still breaking even? That's really what's behind my question.
Martin Bouygues: All right. Concerning the first part of your question, the various stimulus plans and the energy transition component, well, the Chairman of Bouygues Construction will answer that very gladly.
Philippe Bonnave: Well, for a number of years now, we have been preparing for this development. We are obviously very happy to see these stimulus plans emerge, particularly with the focus on decarbonizing and reducing the carbon footprint. We have great expertise in the field of new energies, be it aeolian or wind energy, solar energy, coal generation, biomass and electrical production with low-carbon emissions. This is one of the reasons behind the acquisition we made with Kraftanlagen in Germany where we are replacing coal-fired generators. In fact, this year we delivered a very large plant in Kiel in the northern Germany with a view to replacing a coal-fired power plant. Well, we are ready for all these stimulus plans, relating to timber and the sustainable construction, all tie into the skills and expertise we have been developing over the last few years. As for the volume of sales at energy and services, we are bordering on EUR4 billion. So Construction is now well-balanced between building about EUR4 billion infrastructure, about EUR4 billion and energy and services, about EUR4 billion too. As was said earlier on, our intention is to reinforce our position in the field of energy and services.
Martin Bouygues: As for the Telecom, Richard Viel?
Richard Viel: Bouygues Telecom, we did indeed mention that it intended to accelerate its growth. Well, we began with an approach to the BtoB by buying Keyyo. Keyyo is generating part of this business in SMEs or with SMEs. Now of course, we are integrating Nerim and we are deploying cloud-based solutions for BtoB. And particularly to EIT, we now have new ambitions. Why new ambitions? Well, because EIT gives us access to an additional two million mobile clients but also 4,200 branch offices and 30,000 relationship managers. We can improve on this. But the idea is to develop two areas, fixed lines, where we have big ambitions. Just for your information, we have 12 million in mobile, four million clients in fixed, which gives us some idea of what we could improve with EIT. Finally, with SMEs, that's part of BtoB. Well, CIC, the bank, has a characteristic that it's in relationship with 40% of all SMEs in France. So this is another area of potential development on top of the initial reasons for purchasing EIT.
Martin Bouygues: Concerning the activity of some information about June, maybe Olivier Roussat can give you further information.
Olivier Roussat: Okay. When we look at, if I focus on France for a second, we were at some 98% of our level of activities, be it with Colas, Bouygues Construction, Bouygues Immobilier. That's for France, almost 98%. Now if we stand back a bit and look at the international operations, Colas was more or less on par with last year. And Bouygues Construction was still penalized by a handful of countries. As said, Singapore was still in lockdown in June. The Philippines were also penalized. So on the whole, I think we can see that in June, our level of activity was maybe 1%, 2%, possibly 3% below the level we have achieved in 2019.
Operator: [FOREIGN LANGUAGE] [Operator Instructions]. The next question comes from Thomas Coudry from Bryan Garnier. You have the floor, sir.
Thomas Coudry: Yes. Good morning. Two questions about Telecom, if I may. One about the figures. You are looking at CapEx on H1 compared with other operators, gross CapEx is up in H1 in spite of the COVID crisis. Can you tell us why that is, why you are looking at more CapEx and why isn't there, on the contrary, a decline in CapEx? And another number, looking at other revenue, that is not including services or excluding services on Telecom, there again, others are up compared with Q2 last year, whereas in Q1, of course, there should be an impact due to lower sales of handsets. So how do you account for this increase in others in Q2? And then finally, on the acquisition of EIT, you said that you were stronger in terms of customer base in mobile than in fixed lines in spite of sustained investment. Well, you have Huawei, you have 5G coming up and fiber still continues. But in terms of capital allocation, if you are going to invest in EIT, what's the idea? Do you propose to invest in a broader customer base rather than investing in infrastructure? I mean that I would like to know the rationale what prompted you to go for EIT? And about EIT, are we looking at a new brand that you will keep in your portfolio? Or do you expect the EIT customer to migrate to Bouygues Telecom contracts instead?
Olivier Roussat: Before I give the floor to Richard Viel, let me just say that for us, the acquisition of EIT, says Martin Bouygues, is part of our growth strategy. Bouygues Telecom is part of the group, the Bouygues group. We have a healthy financial position. We have been weathering the crisis, the COVID crisis, with confidence. And we believe that EIT was a growth opportunity. The idea was not to invest abroad. We have always said that we want to focus on the French markets in all areas, by the way, for mobile, fixed lines and BtoB. And so the acquisition of EIT is part of that strategy. Regarding Bouygues Telecom, as you can see, it's a very sound company with low leverage, mostly owned by Bouygues. And so Bouygues' position makes it possible to invest. We are doing it during the crisis simply because, well, whether there's a crisis or not, we believe it is essential to improve on resources, our production capacity so as to improve our services and the offer. Richard will now add something.
Richard Viel: Well, with EIT, we are purchasing their customer base. But we have six brands. You have Credit Mutuel Mobile, you have CIC Mobile, you have Auchan, Cdiscount and NRJ. So we have a whole portfolio of brands as it were. Our relations, well, the idea with EIT is that we will leave the banking brands, we will let it remain for a while to be replaced by Bouygues Telecom eventually, whereas the daughter brands, NRJ, Cdiscount and Auchan, we will look at this on a case-by-case basis, whether we should keep them in order to remain diversified or if we want to migrate towards Bouygues Telecom. But we can do either. That's with regards EIT. But for CapEx, in general, at Bouygues Telecom, you have to remember that we want to invest but not for the sake of investing. The idea is to provide new quality of services. And in so doing, we have the best quality growth to-date. And we don't have the numbers here with me. But if we look at the growth of Bouygues Telecom for H1, you have the numbers. If you compare with Orange, Orange is in the red. And SFR, they are supposed to be bigger. And yet their growth is 30% less than our growth. So the idea is that we are investing in quality. That is the right strategy. Because we have better quality, we have more clients. And with that, we invest in more quality. This is a win-win cycle. But paradoxically, the COVID period has shown that the capacity requirements have increased. We went from two giga down to somewhat less afterwards. But there was a major need for mobile services. Also, there's a great demand for fiber and we want to be a major player there. And to that end, there's a bit of CapEx required. But that is the right way, that's the right approach. We can't just say, I want to keep my numbers up, so I stop investing. That won't work. Now regarding the others line. For H1, well, of course, up until May there was a significant impact on handsets and accessories. Now that the shops have reopened, there is some improvement. But you also have to take into account the fact that in Q2, there's an element both in cost and in sales because we create a subsidiary with Saint-Malo. That created revenue to the tune of EUR60 million or EUR70 million. That's when it occurred. And that is, of course, is to be compared with what you had in Q2 last year.
Thomas Coudry: Thank you.
Operator: [FOREIGN LANGUAGE] Next question is from Eric Lemarie from Bryan Garnier.
Eric Lemarie: [FOREIGN LANGUAGE] Yes. Thank you for taking my questions. I have three in all. First, a short question about Bouygues energy and services. You gave us a few figures. How about energy and services' performance in terms of sales and operating margin? Your competitors, Eiffage Energie and VINCI Energies have performed well, certainly been resilient in the first half year. So I am just wondering if this also applies to Bouygues energy and services? My second question is on Bouygues Immobilier. Could you tell us more about what measures you have taken to turn around Bouygues Immobilier? You mentioned measures. And it's in your slide, that's slide 37, by the way. Maybe you could tell us a little bit more to give us some idea of how this will roll out? And my third question concerns digitalization in the Construction business. Do you feel that the current pandemic will accelerate the development of digital tools and solutions on work sites? Thank you.
Martin Bouygues: Philippe Bonnave will answer you for Bouygues energy and services.
Philippe Bonnave: Well, in energy and services at EUR1.6 billion at the end of June, that was sales with operating margin of minus 1.8%.
Martin Bouygues: As for Bouygues Immobilier, Pascal Minault?
Pascal Minault: Well, a certain number of measures have been taken for Bouygues Immobilier concerning our development, more land for more projects. This will be not just for large corporates but the use of artificial intelligence and intelligent solutions to help us manage land ownership and land occupation better. Of course, greater presence with the sellers in the public and private sectors, that's how we plan to develop. Secondly, profitability. We will be working on the value of the products we produce. We are working on this. And of course, production and construction costs, standardization, purchasing and prefabrication, which are all ways of reducing our costs. Of course, we are working on structural costs. This is just a simple, basic financial hygiene.
Martin Bouygues: Your third question concerns digital in the construction sector. I can tell you that for quite some time we have been working on digitalization. We have digital mockups that are used extensively. We have digital means of communication. And you will remember that at Bouygues Construction, we had a very violent virus, an IT virus at the start of the year, which had an impact on the way we behave. In other words, we had to restore our tools. We had to reinstate people's trust and we had to make the whole system more reliable. So this is still ongoing. That said, in Construction, teleworking, it doesn't work on work sites. You have to have people on-site to raise walls and drive in piles and build floors and what have you. But teleworking is a solution which, during the crisis, enabled us to do quite a few things, particularly in sales and the commercial side of the business, where we have been taking orders. So digital in the construction sector is something that we are working along quite a lot. We have made a lot of progress. But there's still some way to go, particularly in terms of reliability. Bouygues Construction was hit by a virus, a bug. We are not the only ones who have been hit by this type of a misadventure. But that certainly taught us a few lessons about the efforts we need to put in to improve our reliability. I don't know if Philippe Bonnave or Frederic Gardès would like to add to that?
Philippe Bonnave: Regarding digital, I would like to point out that we have a major project with our partner, Dassault Systèmes. Dassault Systèmes is aimed at something completely original that doesn't exist anywhere else, which should lead to a digital project platform. So we are advancing hand-in-hand with Dassault on this project with a view to the long haul. It's a very, very interesting project.
Frederic Gardès: Well, at Colas, the crisis meant that we accelerated our digitalization. And of course, you will have heard of the BIM. For a number of months, we have been working on CIM, which is City Information Modeling, which is the next stage, particularly for infrastructure, getting to map out all our networks. That's something we have been doing for quite some time and that should give us a competitive advantage. This very detailed knowledge of networks should make the difference.
Martin Bouygues: Olivier, did you want to? Roussat?
Olivier Roussat: I should add a word about energy and services. You are talking about the base of comparison. But I am going to come back to the first thing you said, Philippe. It's important to understand that energy and services' exposure is very much a French exposure. And of course, France was very adversely affected by lockdown. We haven't got much presence in Germany. Kraftanlagen was almost untouched by the crisis. And we are talking about VINCI Energies and their exposure in countries like Scandinavia or Germany, well, these are geographies where we have operations. So obviously, the base of comparison does not work in our favor insofar as other countries got through lockdown more flexibly than France.
Eric Lemarie: Now you are talking about margins, minus 1.8% in the first half year? You mentioned the other Construction businesses. Can I ask, do you expect to be able to get back to the same level of margins as you had in 2019? Do you expect that for next year? Or is that too ambitious?
Olivier Roussat: Well, our ambition with energy and services is a very gradual ambition. Before the pandemic, in fact, we told you earlier this year that in the case of energy and services, we were not on a par with the rest of the profession. The rest of the profession is generating 4% to 6%. We are a long way from that. So we are gradually working towards that level of margin. So in 2021, we like to return to the level we had in 2021. But that will not be enough in itself. We have to continue improving our margin in 2022, 2023 to reach the standard for the market.
Operator: No more questions in the queue. [Operator Instructions].
Martin Bouygues: [FOREIGN LANGUAGE] All right. Then, well, I would like to thank you all for having -- I beg your pardon. No further questions. So thank you so much for attending this conference call, the presentation of the half year results. We will be publishing our numbers for the first nine months on November 19. In the meantime, feel free to get in touch with our Investor Relations department, whose phone numbers and details you can find in our publications. Thank you.
Operator: Thank you for attending today's conference call. You may now put the phone down. The organizers of the conference call should remain online.